Operator: Please continue to stand by for the Loar Holdings Inc. Q4 conference call. We will begin momentarily. Greetings, and welcome to the Loar Holdings Inc. Q4 and Full Year 2025 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. If anyone requires operator assistance during the conference, as a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Ian McKillop, Director of Investor Relations. You may begin.
Ian McKillop: Thank you, Brock. Good morning, everyone, and welcome to the Loar Holdings Inc. Q4 and Full Year 2025 Earnings Conference Call. Presenting on the call this morning are Loar Holdings Inc.’s Chief Executive and Executive Co-Chairman, Dirkson R. Charles; Executive Co-Chairman, Brett N. Milgrim; Treasurer and Chief Financial Officer, Glenn D’Alessandro; as well as myself, Ian McKillop, the Director of Investor Relations. Please visit our website at loregroup.com to obtain a slide deck and call replay information. Before we begin, we would like to remind you that statements made during this call, which are not in fact, are forward-looking statements. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the company’s latest filings with the SEC available through the Investor Relations section of our website or at sec.gov. We would also like to advise you that during the call, we will be referring to adjusted EBITDA, adjusted EBITDA margin, and adjusted earnings per share, each of which is a non-GAAP financial measure. Please see the tables and related footnotes in the earnings release for a presentation of the most directly comparable GAAP measures and applicable reconciliations. To begin today, I will now turn the call over to Dirkson.
Dirkson R. Charles: Thanks, Ian. Good morning to my mates and all our partners participating on this call. I am Dirkson, Founder, CEO, Executive Co-Chairman of Loar Holdings Inc. As you all know, Loar Holdings Inc. was founded fourteen years ago with the mission of building an aerospace industrial cash compounder, wrapped in a culture that all our mates can be proud of. Fourteen years into our journey, I am as excited about our future as I have ever been. In 2025, we once again delivered predictable and consistent financial performance, exceeding all our key annual financial goals. Sales, adjusted EBITDA, adjusted EBITDA margins, and free cash flow were all annual records for Loar Holdings Inc. But my excitement really comes from looking forward to 2026 and the opportunity to break all those records we set last year. Look. Looking into the future, all our end markets have strong tailwinds. The commercial aftermarket has experienced an increase in the average age of the in-service fleet. Pre-COVID, the average was approximately 11 years. Today, it sits at fourteen-plus years. The older the fleet, the more demand for aftermarket parts. We love that. This is a trend we can expect to continue well into the 2030s, as delivery of new aircraft continues to fall short of demand. In addition, the commercial aftermarket has witnessed a decrease in the number of aircraft retired each year. Historically, 2.5% of the fleet is retired. However, from 2022 through 2025, the retirement rate has continuously decreased, reaching a low of 1.5% in 2025. Aging fleets, reduced retirement, all lead to one thing: greater demand for our parts into the future. With regards to the equipment manufacturers, who are sitting on record backlogs of orders for future delivery, they have done an excellent job in addressing ongoing supply chain challenges, shortages of skilled labor and raw materials, constrained production, and geopolitical uncertainty to now be able to increase production. For example, Airbus and Boeing plan to produce approximately 1,900 and 1,300 aircraft over the next two years, respectively. This would represent a compound annual growth rate increase of 15% over 2025 production rates. Our proprietary products that align fit on these aircraft will generate increased sales for us as production ramps. Now, with regards to the defense market, which has been heavily influenced by the current geopolitical environment, European nations have increased their military spending to the highest percentage of GDP in decades. In the U.S., there is talk of a $1.5 trillion defense budget. Combined, these trends will lead to greater opportunities for us to provide more products and solutions. So given our balanced portfolio, 50% OE, approximately 50% aftermarket, the broad spectrum of our products across all end markets, combined with executing all along all our value drivers, we expect to continue to grow sales at 10%+ organically and adjusted EBITDA at 15%+ annually into the foreseeable future. We continue to grow inorganically as well. Every time we add a new member to our family of companies, we view it as adding capabilities to the Loar Holdings Inc. toolkit. The larger the toolkit, the larger the revenue synergies. I am pleased to welcome our new mates from L and B and Harper. L and B brings new capabilities to our toolkit and we are excited to add our new mates to the team. Harper is a company I have personally known for eighteen years and could not be happier knowing that this once employee-owned company chose us to carry their brand into the future. No option, just a good old-fashioned getting to know each other and realizing that our culture is made for a perfect match. Bob and Carla, welcome to team Loar Holdings Inc. With that said, Loar Holdings Inc. is a family of companies with a very simple approach to creating shareholder value. First, we believe that providing our business units with an entrepreneurial and collaborative environment to advance their brands, we will generate above-market growth rates. Since our inception in 2012 through the end of calendar year 2025, we have grown sales and adjusted EBITDA at a compound annual growth rate of over 30–40%, respectively. Second, we executed along four value streams. We identified pain points within the aerospace industry and look to solve those problems through organically launching new products. In calendar year 2026, we expect that new product growth will be the number one driver of our organic growth as we qualify new parts in the first half of the year, fueling increased sales starting in 2026. As you all know, we track this pipeline of opportunities monthly. This pipeline represents a list of opportunities derived from listening to our customers, identifying their pain points, and developing direct solutions for them. These solutions are created from the sharing of ideas, best practices, and customer synergies across the group, which directly results in a high degree of collaboration that we foster across our business units. The pipeline represents over $600 million in sales over the next five years without including the benefit of top-line synergies we expect to achieve since adding the capability to produce fans, motors, interior latching mechanisms, and C-track fittings to our toolkit through the additions of L and B and Harper. We are focused on optimizing the way we manufacture, go to market, and manage our companies to enhance productivity. Each year, we will identify initiatives that will allow us to continually improve our performance, with a focus on one or two major efforts that can be expected to expand margins. We continuously investigate ways to improve our mine collect, gather, and utilize data. Enhancing our management ERP and other systems and processes allows us to efficiently leverage data and drive financial and operational efficiencies. Each year, we achieve more price than our cost of inflation, which is one of the levers we use to continuously improve margins year after year, except for the occasional temporary dilution due to acquiring a business with diluted margins or incurring costs because of being a public company. Regardless of these temporary headwinds, we continue to improve our margins. Most importantly, we are committed to developing and improving the talent of our mates because our success is solely, solely a result of their dedication and commitment. To all my mates, as always, thank you so much for your commitment and hard work. I will now turn it over to Brett to walk you through the key characteristics of our portfolio and our commitment to our inorganic growth.
Brett N. Milgrim: Thanks, Dirk, and good morning, everybody. One of the key drivers of our exceptional performance this quarter and this year, and maybe more importantly our consistent performance over a very long period of time, is because we have a very diverse portfolio of products that covers virtually all end markets, platforms, customers, and is balanced across the OE and aftermarket spectrum. Said another way, we have content on virtually anything that flies today, and that is by design as opposed to relying on any particular platform, end market, or specific product line. We just want to have exposure to and be balanced across a very large and growing overall aerospace and defense market. We accomplish this through a very broad portfolio, the vast majority of which consists of proprietary products, which allows us to drive growth, achieve value pricing, and create strong customer relationships and corresponding cross-selling opportunities. Effectively, we have positioned ourselves to capture the 20-, 30-, 40-, or even 50-year annuity that any one particular platform may provide, whether it is a commercial aircraft, military aircraft, or in part of its OE or aftermarket portion of its life cycle. Our proprietary products are not only growing as a percentage of our total portfolio, but also growing in the aggregate, as we have a long history now supplementing our organic growth with M&A activity and a large pipeline of opportunities. What we are seeing today with M&A is a very active market with many willing potential sellers, but as such, we think a market like this requires an appropriate amount of discipline, whether it is related to price or just the quality of the assets for sale. That discipline is something we have been very focused about in creating the portfolio we have today, and as a result, we have done one to two deals a year for a fairly long time now, irrespective of macro conditions or the like. So we remain a very active and consistent acquirer of assets and fully expect 2026 to be another active year. In fact, since going public less than two years ago, we have invested over $1.1 billion of capital in M&A, which is far and away our greatest use of free cash flow and, along with strong organic growth, has resulted in us doubling the size of the business in two years as a public company when you include our latest announced deals. To Dirk’s earlier point, we feel very confident in a business model that, through organic means and acquisition-related growth, can at least triple every five years, and we are certainly ahead of that pace since becoming a public company. Our newest family members, L and B and Harper, both represent the type of businesses that we want in the portfolio. Obviously, we have not had the chance to speak since announcing the closures of either L and B or Harper, but we are really excited about both. I think these companies represent what I was mentioning earlier—two very different product lines serving different end markets and customers—but both are right down the middle of the types of businesses we want to own: proprietary content in niche markets with meaningful aftermarket opportunities. Just to review two of the names that are on this page here, LMB—I think most of you know because that is a business that we announced many, many months ago—we are very glad to finally have closed that, I think, in December. LMB is a business located in the southern portion of France. It is a great business that manufactures what we call engineered cooling devices and solutions. Said another way, think customized and ruggedized fans, and motors and systems that go into niche applications in military content, whether it is an aircraft or a ground vehicle. It is a 100% proprietary product portfolio with what we think is a very, very meaningful opportunity to increase the aftermarket side of the business today, which is less heavily weighted towards currently. It also serves an end market that we have not really had a lot of exposure to, but it has a lot of tailwinds today, which is the European defense market. So we think that is going to be very strong for the next couple of years. And it is a business that today is margin accretive to overall Loar Holdings Inc., and it has a real growth opportunity to enter the world’s largest military market here in the U.S., which it does very, very little of. So we are very excited about the opportunities in front of us. Harper, as Dirkson referenced, is actually a business that we have been familiar with since our days at McKechnie. This is a business that, again, we call interior securing components, but think interior latching mechanisms and the like. We are familiar with it through McKechnie because we had a latching business called Hartwell back in the 2007 to 2010 time frame, and we are very familiar with Harper due to its stellar reputation, high-quality products, and excellent, excellent relationship with Boeing. So Harper serves a completely different market than LMB in that it primarily serves the commercial market. Like I said, it has an excellent, excellent representation with Boeing. They have been recognized as one of Boeing’s most trusted suppliers, and we think that relationship can foster further cross-selling opportunities with Boeing, with other parts of the commercial market, and really be a value-added piece of the portfolio. We are really, really excited about both LMB and Harper. We can already see the collaboration with other business units, as we think these new products are going to be value added to the overall portfolio, which Ian will tell you about next.
Ian McKillop: Every quarter, we share this slide about highlighting our products, but the real power of this portfolio is not just any one of these products. It is the combined capabilities that Dirkson spoke about earlier. We have added two new capabilities: interior latching assemblies, as you can see in the top right; hyper fans and cooling devices, with our acquisition of LMB. This product offering, with over 25,000 SKUs, of which no one SKU makes up more than 3% of our overall revenue, brings our customers something that is incredibly unique: a set of capabilities that can serve them and can be adjusted to meet their needs. I will now pass the call back to Glenn.
Glenn D’Alessandro: Thank you, Ian. Good morning, everyone. Let me start by discussing sales by our end markets. This comparison will be on a pro forma basis as if each of our businesses were owned as of the first day of the earliest period presented. This market discussion includes the acquisition of Applied Avionics in Q3 2024 and BeeLite in Q3 2025. It does not include our latest acquisitions of L and B Fans and Motors or Harper Engineering. We achieved record sales during calendar year 2025. In total, our sales increased to $500 million, which is a 15% increase as compared to the prior year. Our Q4 sales were also a record, increasing 17% versus the prior-year quarter. These increases were driven by strong performances in commercial aftermarket, commercial OEM, and defense. Our commercial aftermarket sales saw an increase of 19% in calendar year 2025 versus 2024. It increased 34% in Q4 2025 versus Q4 2024. This is primarily driven by the continued strength in demand for commercial air travel and an aging commercial fleet. Our total commercial OEM sales saw an increase of 11% in calendar year 2025 versus 2024. It increased 8% in Q4 2025 versus Q4 2024. This increase was driven by higher sales across a significant portion of the platforms we supply, along with an improvement production environment for commercial OEMs. The increase of 19% in our defense sales in calendar year 2025 versus 2024 and 14% in Q4 2025 versus Q4 2024 was primarily due to strong demand across multiple platforms and an increase in market share as a result of new product launches. Defense sales will continue to be lumpy given the nature of the ordering patterns of our end customers for our products. Let me recap our financial highlights for 2025. Sales increased 19.3%, or 16.9% excluding acquisition sales, over the prior period. Our gross profit margin for Q4 2025 increased by 320 basis points as compared to the prior-year period. This increase was primarily due to our operating leverage, the execution of our strategic value drivers, as well as a favorable sales mix. Our increase in net income of $9 million in Q4 2025 versus Q4 2024 is primarily due to lower interest. Adjusted EBITDA was up $10 million in Q4 2025 versus Q4 2024. Adjusted EBITDA margins were 38.7% due to our operating leverage, the execution of our strategic value drivers, and a favorable sales mix. This was partially offset by additional costs associated with being a public company, including Sarbanes-Oxley compliance, and additional organizational costs to support our reporting, governance, and control needs. For the full year of 2025, sales increased 23.2%, or 12.7% excluding acquisition sales. Our gross profit margin for the full year was 52.7%, which is up 330 basis points as compared to the prior-year period. Our net income increased $50 million in calendar year 2025 versus 2024. This was driven by lower interest expense and higher operating income. Our adjusted EBITDA was a record $189 million in calendar year 2025. This is up $43 million versus 2024. Adjusted EBITDA margins were up 180 basis points due to our operating leverage, the execution of our strategic value drivers, and a favorable sales mix. This was partially offset by the additional costs associated with being a public company. We do not see an increase in these types of public company costs going forward. We believe the run rate of these costs is fully reflected in our calendar year 2025 results. Our free cash flow conversion, which is defined as cash flow from operations less capital expenditures, was 138% for calendar year 2025, and it is 160% if you exclude a one-time $10 million tax benefit we received from the One Big Beautiful Bill Act. Let me now turn the call back over to Dirkson to share our outlook for 2026.
Dirkson R. Charles: Thanks, Glenn. Look, we are extremely excited to share upward revisions to our 2026 outlook. As I said earlier, each of our end markets is experiencing strong demand tailwinds. So our focus is on executing our value drivers to continue to position us to at least, as Brett said earlier, at least triple adjusted EBITDA every five years including acquisitions, as we have done consistently since our inception except during COVID. As always, our view is on a pro forma basis assuming we own all of our business units since the beginning of 2025. With that said, we still expect commercial OEM and aftermarket growth will be low double digits in 2026 for all of the reasons I highlighted earlier, while our defense end market sales will be up mid-single digits, as we come off a fantastic year of 19% growth in 2025 over 2024. As we have always said, growth in the defense end market will be choppy. These market assumptions, along with the additions of L and B and Harper to our family of companies and our continued execution of our value drivers, allow us to meet or exceed the following for calendar year 2026: net sales between $640 million and $650 million; adjusted EBITDA between $253 million and $258 million; adjusted EBITDA margin of approximately 40%. Once again, we demonstrate our ability to continually improve margins. Net income between $59 million and $63 million, while adjusted EPS between $0.76 and $0.80 per share, which is a reduction in our guide only because of the incremental non-cash depreciation and amortization related to the acquisitions of L and B and Harper, as well as the interest associated with funding those acquisitions. As we discussed earlier, capital expenditures will be in line with our historical rate of approximately 3% of sales, at $19 million. We have increased full-year interest expense to $80 million because of the funds we borrowed to fund the acquisitions of L and B and Harper. We expect both acquisitions to meet our investment hurdle of doubling adjusted EBITDA in three to five years and to be accretive to earnings in calendar year 2027. Our effective tax rate 25%, depreciation and amortization of $75 million, and non-cash stock-based comp of approximately $17 million. Share count remains the same, 97 million. So look. Please note that all of the amounts I have just outlined for you relating to calendar year 2026 performance assume no additional acquisitions. However, as Brett said earlier, our drumbeat is to complete one or two acquisitions each year. We just cannot predict the timing of such acquisitions, and I will add that the activity around acquisitions is even at a higher level than it was when we chatted last quarter. So we are excited about that also.
Operator: Okay, with that, we will now be conducting a question-and-answer session. If you would like to ask a question, please press star-one on your telephone keypad. A confirmation tone will indicate your line is in the question queue. You may press star-two if you would like to remove your question from the queue. If using speaker equipment, it may be necessary to pick up your handset before pressing the star keys. Our first question today comes from John Gordon of Citi. Please proceed with your question.
John Gordon: Hey, guys. Thanks for taking my question. I have one clarification and one kind of more real question. The clarification is obviously we see the revised outlook and across all the metrics that I think drive the stock most, it has gone up—margin, you know, EBITDA, etc. And I think the analysts that are close to the name kind of understand what is going on here. But I wanted to just give you a chance to spend an extra second on the adjusted EPS kind of revision lower and what is driving that, and just make sure that it is super clear for everybody. Yeah.
Glenn D’Alessandro: John, thank you for asking the question. I really appreciate that because we realized that can be a little bit confusing for folks. Look. When we gave our guide last quarter, we did not have the acquisitions included in it, right. So that did not include LMB and it did not include Harper. And happens always when you are doing an acquisition, you incur accounting, legal fees, and the like—let us call it, we call those transaction expenses, right. That is incurred, that affects EPS. In addition—those are one-time in nature though—yeah. In addition, we are required for accounting reasons to write up the assets and also write off some of the intangible assets to amortization. All non-cash that gets charged against net income. All of those are what is driving the change, including the additional interest, to the EPS. So non-cash mostly is the biggest driver.
John Gordon: Got it. Thank you. Sorry for a second there. That is very helpful. My sort of more real question is you sounded very optimistic about the M&A pipeline. And that is something we have heard from other companies as well. And we have seen it in rising deal activity across A&D. You mentioned one to two M&A deals a year. I wanted to just sort of press on that. And the question is could we see an elevated rate above that range for a bit? Could we see deal size go up? You know, how do you think that this kind of more active and maybe more interesting deal environment manifests itself for Loar Holdings Inc. versus historical norms?
Brett N. Milgrim: The short answer, John, is yes and yes. Meaning we are seeing more deal flow. We are seeing more active sellers. We are just overall seeing a more active market in this space, given what we see as good visibility, good performance, and quite candidly, good valuations, which makes for active sellers. Like I said before, though, that also means that we need to have more discipline because we need to make sure that we see the requisite returns in anything we do. So we talk about one to two deals a year simply as a proxy, given the historical trends. In any given year, it could be significantly more. It really just depends on the opportunities in front of us, and we will always, always be opportunistic and always, always be disciplined such that if prices get too high or quality of assets for sale are too low, or there are things that we do not see the return in, we are not going to do it simply and exclusively because it is an “active market.” We have been very, very consistent over, I think, a relatively long period of time now. And I think our track record kind of speaks for itself. So I use the one to two deals as a proxy and nothing more. And we are going to be opportunistic as we go here in 2026.
John Gordon: Appreciate it. Great color. Thanks, guys.
Brett N. Milgrim: Yeah, no problem. Thanks, John. Thanks, John. Thanks, John.
Operator: The next question is from Kristine Liwag of Morgan Stanley. Please proceed with your question.
Kristine Liwag: Hey, good morning, everyone, and thanks for all the color you have provided. You know, in the quarter, you guys called out 17% organic sales growth. I was wondering if you could talk about the building blocks of that organic growth. It is pretty robust above industry market. So if you were to look at, you know, on a same-store, you know, apples-to-apples, volume, what would it have been? And then also how much of this growth was from your new product introduction? And how do we think about this throughout 2026?
Dirkson R. Charles: Hi, Christine, and thanks for asking the question. In terms of what is driving our—I will use your terminology—organic growth. Look, I think I have said this before. Prior to the most recent time, I would say volume was the biggest, the biggest driver, if you break it up between volume, price, and new business. But as we think about 2026 and going forward—and 2025—the new product introduction is really the largest driver of our organic growth and which is where we think we actually differentiate ourselves from others, because that is $600 million of opportunity that I talked about earlier. We are actually at the cusp now of really starting to get the benefit of that. So in 2026 and beyond—so since 2026, 2027—we expect that will be the largest driver of organic growth going into, you know, the next 12, 24 months.
Brett N. Milgrim: Yeah. And just to add something, you know, for the calendar year 2025, I think our quote-unquote organic growth is actually better than as represented as the number we put in the Q, and you saw it on what Glenn’s slide—pro forma growth, which really is the more appropriate measure to measure organic because it gives us credit for the organic growth in the acquisitions we did—was actually closer to 15% relative to the 12.9% as reported. So 15% organic pro forma growth, as if we had owned all the businesses at the beginning of the initial period, I think, is really, really spectacular and something that we are very proud of.
Kristine Liwag: Thanks for the color, guys. I mean, these are standout numbers. And, you know, following up on the deal dynamics, being able to close LMB fans and motor, you know, being a French asset. You know I think it seems like a pretty incredible way to close that kind of deal, especially with the French government ownership. When you are looking at the pool of available assets, how much more interest do you have in expanding out international capabilities? Is there more of a potentially roll-up fragmented pool you can pull from in the European market? And how does your ability to close LMB give you confidence that maybe, hey, you have got another rich pool to pull from. Yeah.
Brett N. Milgrim: Excellent question. So look, as you guys know—and you know, particularly Christine—it is a global industry, aerospace that is. And so I think over time you will see us continuing to do more and more outside the borders of the U.S. specifically. That being said, the opportunity set remains huge, particularly for the size deals that we are looking to acquire. We have more opportunities than we will ever get to. I have said that many, many times. And in Europe in particular, now that we have four businesses over there, which really serve as a base of infrastructure and management, talent, and resources that we never had before, it exponentially increases our ability to build off those things, to own more assets. So Europe obviously is a very big market. We are just getting started there. So whether it is Europe, the U.S., or elsewhere, I think you are going to continue to see us expand internationally and, you know, mirror the footprint of the overall industry.
Kristine Liwag: Super helpful. And if I could sneak a third one in, you know, we mostly focus on your commercial aerospace business, but defense has been also seeing significant increases. You know, Dirkson, you talked about the potential $1.5 trillion. And look, in Europe, if they want to increase to 5% of GDP, you are seeing fairly large numbers across the board. What we have seen is that the concern about the ability of the supply chain and the industrial base to support this growth has been a priority. When you look at your role as a supplier in this environment with strong operational skills, I mean, look at your margin and your ability to deliver to your customers. How do you see yourself in that ecosystem? What problems could you incrementally solve and could you see outsized growth in your defense business versus what top lines are just from that vertical integration and the supply chain and your ability to be able to get product in the hands of your customer? So not to lead the witness, but—and maybe I did a little bit—it would be helpful to understand how you think about that defense growth.
Ian McKillop: Yeah, I mean, you know, Christine, this is Ian. We always view defense growth as lumpy, right. But I think that actually, given that fact, we have a very strong operational mindset that we can react when our customers need us to react. So I think that is positioned us well because you are right. I mean, across the global environment, everything is pointing to strong tailwinds in defense. And our team is ready to meet that need, should it be there or when it is there. So I think we are well positioned to capture those things. And I think, you know, to Dirkson’s point on that $600 million list of opportunities, right? Defense opportunities are in there. And so we are focused on helping support our customers in the way they need it. And we welcome any new opportunities as they come.
Dirkson R. Charles: If I can add. And by the way, Christine, that is another really, really great, great question. I just want to piggyback a little bit on what Ian was leading you. So yes, we think that we could solve a lot of the supply chain—I will use your terminology—issues relative to the plethora of capabilities that we have, right, which is why we think about our toolkit. And I will tell you that we have had numerous conversations with customers that lead to opportunities that are not adding to that $600 million at this point. So I will just give you an example. LMB—there are a number of opportunities where we could solve issues on this side of the pond that are not being solved overseas because of the lack of the customer synergies that LMB had existing by itself, right. So we will be able to solve a lot more issues with the supply chain because we can now introduce that capability to customers on this side of the pond. That is just one. There is a plethora of others. And so I would not be surprised if—giving a little bit of guidance here—if that $600 million went up significantly by the time we get to the next quarter in terms of the opportunity set, driven by your question. There is going to be a number of defense opportunities that we can be helpful with, adding those capabilities. So great, great question. And by the way, congratulations on the promotion. I heard. Thanks, Erickson.
Operator: The next question is from Sheila Kahyaoglu, Jefferies. Please proceed with your question.
Sheila Kahyaoglu: Good morning, guys, and thank you so much. I have three questions, if it is okay. So maybe I will start on the acquisitions—Harper and LMB. I know you guys have given lots of color, and I appreciated on LMB what it does. And Harper too, given it is such a great supplier to Boeing. Maybe can you clarify the 100% proprietary products? How much are the process? Do you own the manufacturing, the IP? It all? As I have been asked a few times, and I think, you know, there are some misconceptions around the type of assets you guys buy and what proprietary means. And then as you think about the scope, I think LMB makes a lot of sense. As you answered to Christine on expanding it, how do you think about other markets Harper or other suppliers Harper could get into? Thanks.
Dirkson R. Charles: No. Another really good question. Let me, let me, let me start from your last and I will go to your initial question. Okay. Let us start with Harper—100% proprietary. 99.9%. Some of them are listening, so I will be totally straight. 99.9% proprietary. And the way we think about proprietary—I will use this terminology. I know there are lawyers listening—but we think of it as where you are the primary source. I will use that terminology of the product that you are supplying. It is your design. 99.9% for Harper. Their design, their names on the drawing. You cannot go anywhere else to get that part than to go to Harper. So let us take that definition and expand it to the total portfolio of Loar Holdings Inc., because we get this question a lot. When we did our S-1 two years ago, we said 85% of our portfolio was proprietary. I will tell you this today, because we just recently did that math: 85% is now 89%. So it is all heading in the right direction. And the reason being is because that is where the growth is coming from—our proprietary products. And that is where we are investing our capacity, and not just inorganically, but also organically. So that has grown tremendously. And the other place you can see it—and you can check the box as to whether or not you have a business or a portfolio that is really proprietary—is to look at margins. That is one of the reasons—we do not talk about it a lot—but it is one of the reasons why our margins continuously go up and to the right, right, because we are investing in the proprietary nature and products where we are solving issues for our customers, using those proprietary products. So it is increasing tremendously. Now I will go back to Harper. Harper is one of four companies—four out of thousands of suppliers to Boeing—that has a collaborative agreement. Now what does that mean? That means they are joined at the hip. That means Boeing has an issue, they pick up the phone and they call Harper relative to capabilities that Harper has. Here is the beauty of what we have just done by adding them to the Loar platform: they now pick up the phone and call Harper; Harper calls the group and says, can you solve any of these problems? So we have expanded that collaboration with Boeing to include all of the Loar business units. That is the way we think about it. So no, we are excited about it for the reasons I just answered—that Christine’s question—but I am super, super excited about Harper and the relationships and synergies I am going to get from adding the company. Its reputation, its capabilities, and most importantly, the talented folks in that building to our team.
Sheila Kahyaoglu: It makes a lot of sense. I am going to ask another one. You know, on these two deals, how do we think about the pathway to accretion on EPS? And how do we think about accretion on cash EPS?
Brett N. Milgrim: Well, it is very simple—growth, and growth is a function of all the things that Dirkson Charles just spoke about. So in every deal we do, as I think you know, we have said many, many times, we look to see a path to doubling EBITDA, at least, in no more than three to five years. Quite frankly, in certain cases—and I will use one that you all know, since it was the first deal we did going public—Applied Avionics is well ahead of that schedule. We think for LMB and Harper—and quite frankly for any deal going forward which we use debt financing for, which by definition will make it dilutive to net income—we think most of these deals, but in particular Harper because you asked about it, will be accretive within a year. So in 2027, on a net income basis, we think Harper will be accretive. And that is a function of growing the earnings, growing the EBITDA, and, you know, doing all the things that we do to add value for these businesses. Does that answer your question?
Sheila Kahyaoglu: Yes, it does. Thank you. And then last one, the 34% commercial aftermarket growth was pretty stellar. Any way to parse that out?
Dirkson R. Charles: Let me start with this. So I am—a little bit about who I am. So my lucky number is 13. Everybody is going to go, why are you saying this? I am saying it for one reason—born January 13th. So 13 is my lucky number. The only time I do not like 13 is when I have to report earnings every 13 weeks. That is the only time I do not like 13. So there is good and bad to reporting 13 weeks at a time, right? The great news is we have proprietary products in the aftermarket. That is a high demand, right. We have customers who—I will give you an example—distributors who want to be exclusive. And we 100% say no, right. But again, the demand exists. What we saw in the fourth quarter—tremendous demand for our parts. Folks placing orders. It actually, I would say, positively surprised me—again, it is only 13 weeks, right—because usually at the end of the calendar year, most people are trying to manage inventory. In this case, we have customers who want to distribute our products, and we are just seeing more of it. Now, going forward, as I said earlier, where we see growth and where we really put our foot down on growth is on new business introductions. And I will use two examples—the only two I ever use—brakes. We got about a dozen programs that we are working on. Half of them are now certified. The other half we hope to have done by the end of the year. That is why I am excited about the second half of the year growth rate. I will go back to Harper one last time. Harper makes the locking mechanisms that go in the cockpit door barrier for Boeing aircraft. Now, you always hear us say we are so, so awesome on Airbus. Nobody ever asks about Boeing. Boeing. Yeah. So Boeing—Boeing—now having Harper as part of us, it gives us the opportunity in the aftermarket to really chase those parts, right, in terms of cockpit barriers. So as we think about growth in 2026, commercial aftermarket will continue to be low double digits for the year. Maybe a little choppy. But really, really strong given the strength in the fourth quarter that we have seen this year. So, Sheila, if I can just say this—because thanks for asking the question—we see no slowdown in demand for commercial aftermarket. And I think it is reflected in our numbers.
Sheila Kahyaoglu: Great. Thank you guys so much.
Operator: The next question is from Ken Herbert of RBC Capital Markets. Please proceed with your question.
Ken Herbert: Yeah, hey, good morning, everybody. As I think about—just to follow up on that point—and maybe as we think about, you know, call it double-digit organic growth in your commercial markets in the guide for 2026, can I interpret what you are saying that new business will be the largest contributor to that growth relative to volume and price?
Dirkson R. Charles: Yes. Okay. Can I—can I? That is the right short answer. So let me just say something relative to that, right, because we say this all the time and this is probably a good time to really send this message across. Brett always says—I listen to him say it all the time—that we use price as just the filler. Discretionary, right. It is discretionary. Can we increase price significantly? 100%—every day of the week, all day long. That is what proprietary means—going back to the previous question. We want to grow—five years from now, we will be three times the size. Check, check, check that box. We want to grow up to be a company that people do not point at and go, you are gouging me, right. You are chasing price above everything else. We want to truly partner with our customers, right. And so yes—Ken, the answer to your question is yes, we are focused on new business and that is going to be a big driver.
Brett N. Milgrim: Yeah. And just as it relates to price, you know, again, with the caveat being that we want to drive margins only one way. So I think there is a slide in our investment deck that we put in the appendix that shows you over the last five, six, seven years, margins have only gone one way. We will have our margins start with a four in front of it. I think everybody on the IPO road show had asked us, when are we going to reach 40% EBITDA margins? And of course, you know, at the time we cannot give specific guidance in that regard. But here we are just two years later, and I can tell you unequivocally, margins are only going one way—and that is up. That Brett.
Ken Herbert: Hey, maybe just to—yeah—just to clarify one other point, the up 34 in the fourth quarter, I think, Dirkson Charles, was any part of that from, like, new distribution agreements or maybe any pull forward ahead of either price increases or inventory build in the channel? I just want to make sure there was not—not anything unusual, but understand the dynamics of that 34%.
Dirkson R. Charles: No. No. Great, great question. The short answer, again, is no. No pull forward, no special distribution agreements. I will tell you that we have distributors that are fighting over their end customer and wanting to be good, you know, suppliers to them. And again, whether it is a kit that they are trying to put together and our parts are included, or they want to be able to say, I can sell that part that no one else can, right? We are just seeing more demand, Ken. But no, no pull ahead. None of that.
Ken Herbert: Okay. Perfect. And just one final question on the 2026 guide. Do you have any—how would you frame the risk around the commercial aftermarket versus OE growth? And to what extent maybe have you sort of de-risked the guide relative to what could be choppiness on the OE side versus what sounds like pretty consistent sort of aftermarket performance?
Dirkson R. Charles: Great question. So let us start with OE. So on the OE side, what we have done—if you take Boeing and Airbus build rates—depending on the product line that we are producing, we have discounted it anywhere from 10% to 20%—10% at the low end, 20% at the high end—relative to the build rates that people are projecting. So could there be upside there? Absolutely. With regards to the aftermarket, yes, I do agree with you that we believe that that is going to continuously grow significantly double digits. Again, the only problem I have is reporting every 13 weeks, right. Can we have a period of time where it is 14% and then the next quarter it is, you know, 9.5% or whatever? Absolutely. But over the year and the long term, double-digit growth is what we seek.
Ken Herbert: Thanks, Dirkson Charles.
Dirkson R. Charles: Thank you, sir. Thanks, Ken. Additional questions.
Operator: At this time, I would like to turn the floor back over to Dirkson Charles for closing comments.
Dirkson R. Charles: Look. Thanks, everyone, participating on today’s call. I love it when we can share our story. We are super, super excited about our future. I will say for the third time, maybe the fourth. Given what we have done over the last 14 years, we expect to continue to do the same, which means adjusted EBITDA goes from $1 today to $3 five years from now. That is our focus and that is how we want to build this business. And we want to build it in a very special way. We want to have great mates living in a great environment, not being gouged customers, but growing the business consistently. We want to build this aerospace and defense cash compounder for a very, very long time. So look, with that I have two things to say. One. Happy birthday, Ellen. Thanks for participating on the call. You know who you are. And two, I look forward to talking to you guys in 13 weeks—even though you know it is 13 weeks. Thanks, guys.
Operator: Ladies and gentlemen, thank you for your participation. This does conclude today’s teleconference.